Operator: Good afternoon, ladies and gentlemen, welcome to Chunghwa Telecom conference call for the company's first quarter 2025 operating results. During the presentation, all lines will be on listen-only mode. When the briefing is finished, directions for submitting your questions will be given in the Q&A session. And for your information, this conference call is now being broadcast live over the internet. And webcast replay will be available within an hour after the conference is finished. Please visit the CHT IR website, www.cht.com.tw/ir under the IR calendar section. And now I would like to turn it over to Ms. Angela Tsai, Assistant Vice President of Investor Relations. Thank you. Ms. Tsai, please go ahead.
Angela Tsai: Thank you. I am Angela Tsai. Welcome to our first quarter 2025 results conference call. Joining me on the call today are our President, Rong-Shy Lin; and our Chief Financial Officer, Audrey Hsu. During today’s call, management will begin with the recent strategic achievements, and provide our business overview of the first quarter, followed by a discussion of our segment performance and the financial results. After, we will move on to the question-and-answer portion of the call. On Slide 2, please read our disclaimers and notes concerning forward-looking statements. Now, without further delay, I will turn the call over to our President. President Lin, please go ahead.
Rong-Shy Lin : Thank you, Angela, and hello, everyone. Welcome to our first quarter, 2025 results conference call. We are excited to report net income and EPS delivered a 4.3% year-over-year increase in the first quarter, driven by our solid operation and leading position in the mobile, fixed-line and ICT businesses. Despite the first quarter’s rapid changes in the macroeconomic climate due to the global tariff issues, from which we believe there is no material impact, we believe that this may even present new opportunities for our International business. At the same time, our strong financial performance positions us to continue investing to seize new opportunities, particularly those from enterprise customers who may be expanding their manufacturing bases globally. Meanwhile, we continued to execute our Sea, Land, and Sky advanced network strategy to prepare for the future and enhance network resilience. Leveraging our leading technology strength, in January, we collaborated with partners to successfully integrate ST-2 high-orbit satellite with 5G base stations. This achievement enabled world-leading end-to-end two-way video calls based on the 3GPP 5G New Radio for Non-Terrestrial Network standard communication protocol, advancing the connection between Land and Sky via satellite and 5G communication. Furthermore, in April, we concluded a strategic partnership with the U.S. innovator Astranis to bring a dedicated MicroGEO satellite to Taiwan, complementing our existing multi-orbit satellite architecture. As for Sea, we announced our investment in E2A, the trans-Pacific undersea cable connecting Asia to North America, to meet the growing demand from OTT players and digital transformation, including the foreseeable AI boom. To our great delight, we were proud to receive multiple awards in the first quarter, acknowledging our leadership in business and ESG performance. For international honors, our outstanding 5G Smart Port solution was recognized by Asian Telecom Awards as the Technology Innovation of the Year. We were also ranked Top 5 for S&P Global ESG score in the Sustainability Yearbook 2025 for the 3rd consecutive year, and secured the highest A ranking from CDP for both climate and supplier engagement leadership for the 2nd consecutive year. Finally, we’d like to highlight that Chunghwa Telecom is the first Taiwanese telco certified under the most stringent international anti-bribery standard, showing our determination to deliver outstanding corporate governance. Going forward, Chunghwa Telecom will continue to maintain its leading position across all key benchmarks in the industry. Now, let’s move on to the business overview of the first quarter of 2025. Please turn to Page 5 to review our leading position in Taiwan’s mobile market. According to the statistics from Taiwan’s telecom regulator, by March, we had successfully acquired the largest revenue share in Taiwan’s mobile market at 40.5%, as well as the largest subscriber share at 39.1%. Both exhibited year-over-year and quarter-over-quarter growth, reflecting our strong and healthy growth momentum. In addition, our 5G market share reached 38.7%, maintaining its leading position in the market. Our mobile service revenue in the first quarter increased about 2% year-over-year, mainly due to subscriber number increase and continued 5G migration. In addition, we are pleased to report a 42% increase in the average monthly fee uplift from the 5G migration, contributing to the stability of our overall mobile ARPU, which delivered a slight quarter-over-quarter increase in the first quarter. Let’s move on to Slide 6 for an update of our outperforming fixed broadband business. In the first quarter, our cross-tier upgrade promotion package continued to be well-received, with near 70% of the package adopters choosing service offerings of 300Mbps and above, including the highest speed offering of 1Gbps. As a result, on a year-over-year basis our subscribers with speeds of 300Mbps and above increased by 16%, while those with speeds of 1Gbps grew significantly. Given the continued speed upgrade from our subscribers, our fixed broadband revenue and ARPU exhibited another quarterly increase by 2.5% and 2.1% year-over-year, respectively, and we are confident that this growth will persist. Now, let’s take a closer look at the performance of our business groups. Slide 7 provides a deeper overview of highlights from our customer application services. In the first quarter, we continued to see positive growth in each value-added service offering. Our multiple-play packages, with service offerings of Mobile, Fixed-Broadband and Wi-Fi, continued to deliver outstanding year-over-year growth of 33%, driven by our strong network quality and effective reward point strategy. Video business maintained its growth trajectory as subscriptions increased by 12.5% year-over-year, driven by sports content and our exclusive release of popular dramas. Our effective content strategy led to a 45% increase of Hami Video subscribers compared with the same quarter last year, which is encouraging. As a result, our overall Video revenue in the first quarter rose steadily. In addition, our consumer cybersecurity subscription also surged by 21% year-over-year during the quarter, steadily increasing its revenue contribution as expected. Slide 8 illustrates the key highlights in our enterprise ICT business. We are excited to report strong enterprise ICT business performance in the first quarter. Revenue increased by 13% year-over-year, driven by project revenue recognition, robust performance across our major pillars, and continued growth in recurring revenue. We believe our strategy to increase our recurring revenue is important as it can help stabilize overall ICT performance. For a closer look at each emerging application service offering, in the first quarter, we were excited to see year-over-year revenue growth in our cybersecurity, IDC, and cloud businesses of 40%, 29%, and 13%, respectively. Cybersecurity revenue achieved the 13th consecutive quarter of year-over-year growth, mainly driven by projects completed for financial institutions and franchise chain store clients, along with contributions from streaming customers. Meanwhile, IDC and cloud revenues were boosted by the contributions from smart government projects, accompanied by the increasing recurring revenue from both IDC and international public cloud services, the latter experienced particularly strong growth. Notably, as the first telecom in Taiwan to be honored as AWS Premier Tier Service Partner, we hold the most AWS certificates, demonstrating our leading cloud technology within the industry. Additionally, our 5G private network also delivered double-digit revenue growth driven by the revenue recognition from the international clients, as well as, year-over-year revenue growth in our AIoT service business, fueled by projects in finance and repair sector. And we were delighted to report the network integration contract worth over NT$1 billion secured in the first quarter from a leading financial holding company, which we expect will inject revenue and profits in the near future. In addition, leveraging our leading data analysis capabilities, we were proud to win Taipower's AMI expansion project again, recognizing our expertise in energy management. Lastly, we were honored with four major awards at CIO Taiwan's 2025 Elite Vendor Awards, including the Outstanding Service Provider for the fourth consecutive year, where we were the exclusive winner from telecom industry. Slide 9 illustrates our international subsidiary performance. In the first quarter, revenues from our overseas subsidiaries increased by 8.2% year-over-year, mainly due to the growing ICT services provided to high-tech customers in the United States and Southeast Asia markets. In light of the global economic landscape change, we have observed business opportunities from the growing Taiwanese investment in the United States and saw projects in our pipeline, mainly progressing as a result of the relocation of the AI supply chain, including the AIDC construction. Thus, Chunghwa Telecom Global, our subsidiary in the United States expanded our Arizona office in April, and launched a new office in May in Texas office to support business development. In addition, our businesses in Singapore, Vietnam, and Thailand are all experiencing double-digit revenue growth in the first quarter, largely driven by providing ICT services for Taiwanese enterprises to build new factories in the Southeast Asia market. To support overseas business, we announced our investment in the new submarine cable system, E2A, in March. This trans-Pacific fiber-optic network will connect the submarine cable system between North America and Asia. Our strategy is to enable diverse connectivity options, strengthen Taiwan’s position as a key submarine cable hub in the Asia-Pacific region, and further enhance overall network resilience to respond to the growing demand for network services. Now, let’s move on Page 11 for the financial performance of our three business groups. In the first quarter, our CBG delivered a 4.9% year-over-year increase of its income before tax, which is quite healthy, as our mobile ARPU will steadily develop and fixed broadband ARPU is expected to continue to hold up. In addition, as our ICT business continued to expand, we were delighted to see EBG’s total revenue increased by 2.3% year-over-year, mainly underpinned by its strong ICT business revenue growth of 11.6% year-over-year. This growth was offset by continued declines in EBG’s fixed voice revenue which led to a 3.8% year-over-year decrease in income before tax. IBG’s total revenue and income before tax both increased modestly in the first quarter, due to its robust international IDC business growth and the continued strong demand for integrated ICT services in the global market. Now, I would like to hand the call over to Audrey for the financial updates.
Audrey Wen-Hsin Hsu : Thank you, President. Good afternoon, everyone. It is my pleasure to present an overview of our financial results for the first quarter of 2025. Please refer to Slide 12, income statement highlights. Let me walk you through the key financial metrics for the quarter. Revenue reached over NT$55 billion, making the fifth consecutive year of growth. This represents a year-over-year increase of 1.6%, driven primarily by the expansion of our ICT business, along with solid performance in mobile and broadband services. Income from operations and net income rose by 5.0% and 4.3%, respectively, compared to the same period last year. These improvements were fueled by the strong performance of our IDC Internet Data Center business and sustained growth in Mobile and Video Service subscriptions. Earnings per share increased from NT$1.21 to NT$1.26, reflecting consistent profitability and our disciplined cost management. EBITDA and EBITDA margin both recorded modest gains during the quarter. Notably, both EBITDA and net income reached their highest levels in nine years for a first-quarter period, underscoring the resilience and strength of our core operation. Now let’s turn to Slide 13, balance sheet highlights. Total assets increased by 0.5%, as of March 31, 2025, compared to the year-end 2024. The growth was primarily driven by an increase in other current monetary assets, which further strengthened our liquidity position. Property, plant, and equipment declined by 1.1%, as depreciation expense exceeded net additions of fixed assets during the quarter. This reflects our continued emphasis on capital discipline and asset efficiency. Total liabilities decreased by 5.5%, mainly due to a reduction in accounts payable. Our current ratio improved further and remained above 100%, highlighting healthy short-term liquidity and financial flexibility. In addition, the debt ratio declined slightly, and net debt-over-EBITDA remains at zero. Taken together, these metrics highlight our solid financial position and prudent capital structure. Now let’s move to Slide 14, cash flow summary. Cash flows from operating activities decreased by 8.6% year-over-year primarily due to higher settlements of accounts payable during the quarter. Capital expenditures increased by 7.2% year-over-year, primarily due to the front-loaded deployment of 5G/4G equipment in the first quarter. This reflects our planned mobile network enhancement schedule, with a greater portion of the build-out occurring early in the year. Importantly, we remain committed to disciplined capital management, and full-year mobile-related CapEx is still expected to be lower than in 2024. As a result of these factors, free cash flow declined by 17.4% year-over-year. This was in line with expectations, given the investment timing. We continue to maintain a strong cash position and stable operating inflows, which provides a solid foundation to support business growth and shareholder returns. Turning to Slide 15, performance relative to Q1 2025 guidance. For the first quarter of 2025, revenue was broadly in line with the guidance we provided earlier this year. Meanwhile, income from operations, net income, EPS, and EBITDA all surpassed our Q1 guidance by a modest margin. This outperformance was primarily driven by the steady growth of our core businesses, improved profitability in our ICT business, and lower-than-expected operating costs, reflecting our ongoing efforts to optimize operations and maintain disciplined cost control. This concludes the financial overview for the first quarter of 2025. We are pleased to report a solid start to the year. So we now open the floor for questions and welcome your insights.
Operator:
Operator: [Operator Instructions] Thank you. Okay, if there are no further questions, I will turn it back over to President Lin. Thank you.
Rong-Shy Lin : Okay, if there's no question, then, thank you for your participation. Thank you.
Operator: Thank you, President Lin. And ladies and gentlemen, we thank you for your participation in Chunghwa Telecom’s conference. There will be a webcast replay within an hour. Please visit www.cht.com.tw/ir under the IR calendar section. You may now disconnect. Thank you again. Goodbye.